Operator: Good morning. My name is Claudia and I will be the conference operator today. At this time, I would like to welcome everyone to the Blueknight Earnings Conference Call for the Third Quarter 2021. All lines have been placed on mute to prevent any background noise.  I would now like to turn the conference over to Matt Lewis, Blueknight’s Chief Financial Officer. Please go ahead.
Matthew Lewis: Thank you and good morning. We are pleased to welcome you to Blueknight’s conference call, during which we will discuss financial and operating results for the quarter ended September 30, 2021. Please note that our earnings release which can be found on our website includes financial disclosures and reconciliations for certain non-GAAP financial measures that should help you analyze our results. Additionally, supplemental information will be available in our 10-Q, which will be filed tomorrow with the SEC. I would like to remind you that comments and answers to questions during the call may include Forward-Looking Statements that refer to management’s expectations or future predictions. These statements are made as of the date of this call, and management is under no obligation to update these forward-looking statements in the future. They are subject to risks and uncertainties that could cause actual results to differ from management’s expectations. Additionally, we should note that on October 8th, Blueknight’s Board of Directors of the general partner received a non-binding cash offer from Ergon to acquire all of the outstanding publicly held preferred and common units. The offer was publicly filed with the SEC and is available on our website. Given that the general partner is an indirect, wholly owned subsidiary of Ergon, the Conflicts Committee, which is composed solely of Blueknight’s three independent directors will evaluate the offer. Additionally, the Conflicts Committee retained independent financial and legal advisors to assist in their evaluation and potential negotiation of the offer. Even if the Conflicts Committee’s review is ongoing, management is unable to comment about the process and will not discuss this matter any further. With that, after our prepared remarks today, we will open the lines for Q&A. I will now turn it over to Andy Woodward, our Chief Executive Officer.
Andrew Woodward: Thanks, Matt. Good morning to everyone who dialed in. I plan to start today’s call by highlighting our financial and operating performance during the third quarter and year-to-date, followed by an update on external factors influencing our business and the progress we are making with our growth strategy. Matt will then provide more details on our financial performance and key metrics before we open the lines for Q&A. Now, turning to our business highlights. I’m especially pleased with our performance over the third quarter, during which we achieved a handful of major milestones for the partnership. First, we successfully transition and achieved our synergy targets following the sale of our crude oil business. Second, all 2021 expiring contracts renewed to-date have been extended that current or more favorable terms. And lastly, we have now reached our long-term target uncovered at 1.3 times on all distributions when looking over the last 12-months. The business is also tracking extremely well. We are having one of our best years and environmental health and safety performance and recorded one of our strongest quarters to-date, which has contributed to adjusted EBITDA DCF to be higher year-to-date by 12% and 19%, compared to the prior year respectively. With that said, we expect to exceed our 2021 financials guidance laid out earlier this year. Finally, our outlook continues to improve as we generate in advanced growth projects consistent with our strategy and further supported by passage of the historic $1 trillion federal infrastructure bill that should lead to robust demand for asphalt over the next five plus years. For the third quarter of 2021, adjusted EBITDA was 16.9 million, up 22% year-over-year, DCF was 13.9 million up 21% year-over-year. Matt will go into this in more detail. The drivers of growth included 2.1 million in other income, higher volumes, continual improvement in corporate costs and the interest savings. This performance translated into maintaining our industry leading financial metrics. The distribution coverage of approximately 1.73 times on all distributions, 4.35 times on common unit distributions in total leverage of 1.87 times. Earlier this year, we communicated to the market our desire to achieve long-term financial targets of leverage at 3.5 times and coverage in all distributions of 1.3 times or greater on an LTM basis. I’m pleased to report today, we have now achieved these targets on both measures. As we have communicated previously regarding our capital allocation policies, getting these two targets are critical, as we balanced maximizing risk adjusted returns, opportunistically repurchasing preferred units and before we consider returning capital back to unit holders in the form of distribution increases. Looking forward, and as stated before, we may consider raising the distribution provided the increase corresponds with a sustainable increase in the underlying cash flow above the 1.3 times level. As we evaluate those decisions, we will be considering both actual underlying growth, tailwinds and headwinds in the business over our long-term forecast. Nonetheless, we are very excited to have reached this point. Operationally third quarter, total throughput volumes were up 7% year-over-year and year-to-date slightly ahead of the prior year and 3% above the trailing three-year average. In addition, of the 2021 contracts we have renewed so far this year, we have executed at current or more favorable terms. At a more macro level, Congress has recently passed a bill representing the largest investment in our nation’s infrastructure in decades. As we noted throughout the year, this bill leads to a sizable increase in funding over the next five plus years. This bill along with increased spending levels at the state level should provide a stable and rising demand environment for infrastructure and road construction work for years to come. Now, turning to our strategy. We have been hard at work generating new opportunities and advancing existing projects that were initiated earlier in the year when we began pursuing growth in earnest. These opportunities align with how we have described our strategic growth areas in the past and include projects that enhance the logistical or product capabilities of certain terminals, acquisitions of new terminals and solutions for existing customers and complementary products beyond asphalt. If and when we have executed definitive agreements, we will announce these products in more detail at the appropriate time. In summary, I’m encouraged by our performance this quarter, our long-term outlook for business and the steps we are taking to prove out in advance our strategy. I will now turn the call over to Matt to walk through our financial performance. Matt.
Matthew Lewis: Thanks Andy. Looking at Blueknight’s third quarter financial highlights income from continuing operations was 12.6 million compared to 9.4 million in the prior year. In the quarter, we recognized other income of approximately 2.1 million that was related to certain insurance claim reimbursements in our asphalt business. Adjusted EBITDA from continuing operations was 16.9 million during the quarter up 22%, compared to the prior year. With three quarters in 2021 adjusted EBITDA was 40.3 million up 12% compared to the prior year. Third quarter distributable cash flow from continuing operations was 13.9 million, up 21%, compared to the prior year. I highlight that our cash interest expense improved both sequentially, and year-over-year and our coverage ratio, which is typically strongest during the third quarter of each year was 1.73 times on all distributions and 4.35 times on common unit distributions. To bring this up over the trailing 12-months period, our distributable cash flow was approximately 43.8 million and our calculated coverage ratio was 1.36 times on all distributions in 2.67 times on common unit distributions. Looking at segment performance, third quarter of 2021 represented our strongest third quarter since 2017. Asphalt terminalling operating margin excluding depreciation and amortization 17.4 million of 6% compared to the prior year, primarily due to higher variable throughput revenue, contract renewals and other annual escalators. Total fixed fee take or pay revenue was 24.4 million. Variable throughput revenue, which can fluctuate from third to fourth quarter each year, based on when customers achieve minimum annual thresholds was 2.8 million, up 6% compared to prior year. And on a full-year basis, we expect variable throughput revenue to be in line with historical averages or around 5% to 6% of total revenue after excluding recoverable costs. General and administrative expense of three million during the quarter down 8% compared to the prior year. As Andy highlighted, we have successfully reduced our cost profile post divestiture of the crude oil business. We expect to capture approximately 1.5 million in synergies during 2021. To give you an update on our investing activities, third quarter 2021 maintenance capital of 2.4 million was a bit higher compared to prior year, but year-to-date it is essentially flat to 2020 amounts. And to reiterate, we expect full-year maintenance capital to be within the upper end of the guidance range of 6.5 million. Finally, I would highlight that our debt and liquidity position continued to improve relative to prior periods. This time last year we reported a total debt of 261 million and a total leverage ratio of 4.06 times. As of September 30, 2021, our total debt outstanding was 101 million and our total leverage ratio was 1.87 times. We believe we are well positioned to utilize our balance sheet to support future growth initiatives. Operator, please go ahead and open the lines for Q&A.
Operator: Thank you.  Our first question is from Steve Chick with Sebi’s Garden Capital. Please go ahead.
Stephen Chick: Hi thanks. Hey guys thanks for taking my questions. I have question on guidance, but at first like to discuss strategic topic. And I can understand you can’t comment on the bid made by Ergon of last month to acquire Blueknight a 332 per unit for common at the common and 846 per preferred unit. And I’m not going to put you in a position to comment on that. I would like to make sure I have got the facts right, though. And I want to say up front that I’m not unhappy as a unit holder that the offer has been made, because it gets us to talk about it. It was also obviously the catalyst for the DG capital letter that raised objections to the offer dated October 12th. But I would say simply put, that the offer as it stands today is insulting and it is offensive. It is offensive to the management of Blueknight, it is insulting to the common unit holders, and it is deficient for the preferred unit holders and undervalues Blueknight. And but like I said, I want to make sure I got the facts right. And by way of background, Ergon invested first invested in Blueknight in 2016 and became general partner then. And they actually, you may know had a relatively bullish conference call with former Blueknight management that then. Leslie Lampton of Ergon and Mark Hurley, who was a former CEO of Blueknight were on that call, and they showed a strategic alignment. And thereafter and for the ensuing three years, Blueknight deployed capital towards low returning crude oil businesses and trends deteriorated. And Blueknight was forced to cut the dividend the common dividend twice. Once significantly in 2018 and then significantly again in 2019. And of course, apps that Ergon put in a bid to acquire Blueknight, not unlike today, but at lower levels two years ago. The stock since they first made that investment became channeled partner is down 40%, despite the bronze had year-to-date now it is still down 40% from their initial investment. The distribution on common is down over 70% since they became general partner. I’m going to say that again, because I think it is pretty important. The distribution per common unit when Ergon first became general partner of Blueknight was $0.58 per unit. It is $0.16 per unit today. So there has obviously been a bit of value destruction since they have been a general partner. But the good news is that they have actually made some good decisions along the way as well. Namely Andy, they appointed you CFO, in April 2019 of Blueknight, and then CEO in June of 2020 when they made the overdue management change. And as you may or may not know the stock the common units are up 180% since you joined the company, and under your leadership, Blueknight successfully divested the crude oil the low returning crude oil business earlier this year. And right now at 1.8 times leverage you have got the cleanest balance sheet in the history of the company. And this company is in the best financial position it is ever been in. And now of course, you have got the infrastructure bill on the comp, as CG capital pointed out in the letter. And Ergon’s take takeout offer, as it stands now, doesn’t account for any of this. Following the divesture crude oil, you have an under levered balance sheet at 1.8 times. Your target leverage ratio, as you say, is 3.5 times, when you pencil out the sources and uses of this offer, with a 3.5 times leverage. It isn’t a takeout, it is a take under. Ergon couldn’t would use book Blueknight’s balance sheet to lower its cash outlay with this with this bid. In other words, the implied cash costs Ergon is really the equivalent of what the bid was two years ago to acquire this company, which by the way was withdrawn within five weeks. And that is when the company was on the ropes. It doesn’t reflect any of the improvements you have made to-date as evidenced by this quarter. And it doesn’t reflect the growth outlook that you have going for you ahead of time looking forward. It is insulting, and it is gross. And as for the preferred shareholders, the bid would be highly taxable for the sellers, not for Ergon. But importantly, it also sidesteps the likely better alternative of a recapitalization of sorts, or a negotiated conversion of the preferred to common. At an exchange ratio that would benefit all shareholders, common unit holders, preferred unit holders and Ergon. Ergon has 60% of the preferred units, they could execute this easily. The reason why the common units are depressed is because this Company’s capital structure is massively inefficient. Two-thirds of your fully diluted equity value is in a preferred security that is illiquid, and it has a high cost of capital. It looks like you have $130 million market cap and yet you have a $400 million fully diluted value. I’m sorry, I will get through Andy. My point though is that a conversion will clean up the capital structure result in higher valuation for the company and raise the daily trading value for the stock. And it would benefit all shareholders, including preferred and probably be a lot more tax efficient. And so the offer in its current state, it benefits only one party as far as I can see it. And that is Ergon. Now I do have a question. I just want to get that out of the way. My question is surrounding not about the bid. But we have been on the impression you have been working internally on, as you said, strategic growth plans and stuff to present to the general partner and the board. And then as for timing, we were hoping to hear something more meaningful come the fourth quarter call, say by March, at least with its bid that was made a month ago. My question is, does it change that process internally of how you are presenting stuff to the general partner and the board? And does it change the timing of when we might hear something more meaningful?
Andrew Woodward: I think that question, Steve. And now maybe I will just start by saying to all investors, if there is comments, is there is concerns to, I think the appropriate medium for that is that send those comments and concerns, do letter through our Investor Relations department. I certainly don’t want to use this call as that opportunity. Happy to take questions like this one, Steve, and I will answer it. But I do want to encourage investors to do that. And I think that is the appropriate medium. But with that said, and answering your questions, I still stand behind my comments last quarter that I think you are referencing that. No, I remain hopeful that opportunistically we can announce something by year-end, but at least by our year-end call. And as it relates to growth projects and strategic projects, we are absolutely nothing’s holding us back sharing those types of opportunities with our board. I think me personally and I think management as a whole takes a lot of pride and how we have dialogues with our board. Along with how we have dialogues on these calls with all of our investors. And I think we have been pretty clear since we have completed that crude oil transaction and as you know with the liquidity we have on hand that our number one priority right now is growth. So as you can imagine, with our board and with just time passing since then we are likely showing essentially more opportunities now than at any other point in time. So this offer itself from Ergon has not slowed any of that down. I would say the board has been very supportive of what of management’s board meetings and along with our recommendations, and those board meetings, and again, we are hopeful that by year-end will have something to announce, but at least our year-end call with all investors.
Stephen Chick: Okay, I guess that helps there. And then now, just for the numbers a little bit, on your and a good quarter and the trends are obviously very good. You mentioned just relative to EBITDA, for let’s say 2021, you are obviously exceeding your guidance, but your guidance was, as I remember, kind of flat with 2020 ex-synergies and EBITDA. And you are kind of trending well ahead of that right now. So I don’t want to pinpoint you to a number range for what you think 2020 one’s going to look like, but can you at least tell us, in the fourth quarter, with comparisons and trends and so forth? Do you expect the fourth quarter to be up year-over-year in terms, and I’m talking in terms of total EBITDA?
Matthew Lewis: Hey Steve, this Matt, I will pick that one. And rather than going specifically to the fourth quarter, I mean, I might just share that within our release within our prepared remarks, I mean, we did note that we expected to exceed those full-year guidance targets that we laid out. And so I think you can take that comment, then obviously, our performance year-to-date, that kind of maybe back into your fourth quarter, but that specifically around maybe one of the biggest drivers kind of 3Q to 4Q is that variable throughput revenue. And so I think just calling out that on a full-year basis, we expect that to be between 5% and 6% of total revenue. So you can take those pieces, I think that kind of gets your fourth quarter number, but we are really pleased with the performance to-date and we are seeing benefits in the synergies and saying kind of that G&A run rate. And so, you know, that is probably how I would just speak to that question.
Stephen Chick: Okay, that is helpful. And then, we don’t expect to hear anything about next year’s guidance until probably next, the fourth quarter report. But is there anything you can tell, say about next year at this point. Maybe, how many contracts, as a percentage of contracts may be up for renewal? And then secondly, with this infrastructure bill I know it is kind of early now, but as you counsel that out, I mean is that something that you would expect to be able to contribute next year to the second half?
Andrew Woodward: Steve this is Andy, you are right. We plan to give more of an update on guidance for 2020 to our year-end call when we have more visibility in the business that year. I think as it relates to contracts for 2022. We haven’t provided this publicly, but I would just assume that it is in line with what we have had at the start of this year. And then as it relates to the infrastructure bill, I think you are right. We have gotten that passed, finally, but how that shows up is a bit unknown to us. So I think we have provided some guidance on the past call of the amount that could contribute to our baseline business. But as you said, it is early on in that bill and we likely see something contribute to it next year, but more than likely you would see the full impact after next year as state start to plan around it and have time to play around with it.
Stephen Chick: Okay. Alright that is helpful. Thanks guys.
Andrew Woodward: Thanks Steve.
Matthew Lewis: Thanks Steve.
Operator:  Our next question is from Jeff Bailey with Beach Capital. Please go ahead.
Jeff Bailey: Hey, good morning, Matt and Andy, another impressive quarter. And just like to affirm to thank you for the open lines of communication with the investment community, it is greatly appreciated. My first question, two questions really are for Matt. Matt, sometimes Blueknight has provided the up to-date debt balance. Do you have that available for shareholder or is the 11.11 debt balance?
Matthew Lewis: Yes. We released within the press release, it was 96 million. I think that was as of the 4th of November.
Jeff Bailey: And then, Matt, how are you penciling out interest expense for 2022? Given the forward curve, but also the lower debt balance to offset?
Matthew Lewis: Sure. I was going to say this quarter that the cash interest expense was a little below 700,000? I think that as we have talked on calls previously. I think that is a pretty fair quarterly number on a go forward basis. I mean, obviously, the curve is upward sloping and that is something that I think we have talked about on prior calls and it is an item that we are evaluating internally and with our senior lenders on what makes the most sense from a timing standpoint. But I think that is a pretty fair quarterly assumption going forward, and then taking into account continued debt reductions with just reduce that balance.
Jeff Bailey: And then just to reaffirm a couple 100,000 each quarter is non-cash, right? It is debt cost amortization, but it shows up as the interest expense line?
Matthew Lewis: That is exactly right. So the difference between your cash paid on the DCF. And what you would see on the income statement is that amortization of debt issuance cost that additional detail is available in our queue that will be filed tomorrow.
Jeff Bailey: Okay great. so the cash interest cost is more representative, there is not going to be a catch up at the end of the year or anything like that. It is all non-cash or not this couple 100,000 of non-cash in there for the interest expense?
Matthew Lewis: Right. Right.
Jeff Bailey: Got it, okay. And then, I’m not sure if this is for Andy or for Matt, but ever since you guys came on you pretty much grown operating leverage every quarter, year-over-year, and this quarter is no exception. Is you talked about the Cushing synergies and how those are completed, is there still more operating leverage that you can realize, for your investors going forward and I’m kind of looking at it and measured by discounted or distributable cash flow or for every dollar of revenue?
Andrew Woodward: Thanks Jeff. This is Andy. I think from our standpoint, it is something we are always looking at, how can we continuously drive improvements in our baseline business, drive efficiencies in our business. Now, we have done that, as you noted, with a lot of urgency and earnest over the last couple of years and has identified quite a bit, including in sizeable pieces related to the crude oil transactions. That is not to say, we won’t find more. But it is to say that it is just part of how we run the business that we challenge one another. And we are constantly looking at ways to not only run the business more efficiently, but find improvements along the way.
Jeff Bailey: Yes because the synergy started to show up before the crude oil disposition. And so I’m just wondering if there is still more left, even, despite that, you have already realized that targets related to the crude oil disposition?
Matthew Lewis: There is certain things I mean, I mean, just maybe to give kind of a couple examples, Jeff, I mean, we consolidated some office space here in Tulsa, Oklahoma, and took our footprint down by half and the benefit of those from a new contract that we executed are effective, really, I think, October forward. And so those are examples of things that we will continue to see benefit from 2021 to 2022. But certainly to the extent we have more synergies, I mean that is something that we are spending a lot of time on trying to make sure we capture those fully.
Jeff Bailey: And then Andy we have talked about this before, but it is a trend that is continued about a million barrels of daily refining capacity has come out of the domestic industry. Do you still, are you still not seeing that as a problem for asphalt procurement going forward?
Andrew Woodward: Yes, no, I think our views of that are similar to views of the past. We think on the asphalt side that unrelated to what you have seen on refined products is there is strong growing demand for asphalt and refiners can tweak their product slate to sometimes produce more asphalt and other refined products and I think we are certainly even seeing that in this marketplace. So I think that demand gets filled regardless, as you know there are certain refiners converting to renewable diesel, even some potentially even shutting down, but we don’t think - we still think that plenty of supply is out there to fulfill the demand and the growing demand that we see over the next five plus years.
Jeff Bailey: And then you don’t see any related price increases. We have talked before you said that, the price of apps, the demand for asphalt is relatively inelastic, given the lead times for a lot of these projects, but maybe 5% of refining industry capacity is a pretty big number in a commodity market. And that is just for today. So you don’t see any subsequent increase in asphalt price as affecting demand too much in the near future?
Andrew Woodward: No, I personally don’t see that large of an impact and namely, I speak to refiners perhaps increasing the amount of asphalt that they produce as their other products are either flat or slightly declining.
Jeff Bailey: Got it, okay. And then my last question relates to inflation, we have talked on previous calls and then the SEC documents are pretty clear that that Blueknight has escalators and other protections from cost increases, and general price increases. But we don’t really know as investors, what indices those are pegged to. As we get a headline number yesterday of 6% in change, as we build our models for 2022, can we start plugging in 6% cost escalation or I should say, price escalation and those numbers for Blueknight. I mean, that is just taking the CPI, but I’m just looking for a little more clarity on how we can incorporate inflation into our models?
Matthew Lewis: Yes, and Jeff, this is Matt, I mean what I would do, rather than taking that that one data point, I look, there is probably a lag effect in just the way that a lot of our contracts are read. And so if you if you look at a period, it would be call it from November to October and take that monthly average, and then compare that to the year-over-year, that is effectively kind of maybe a better way to look at it kind of what would be an annual escalator and so, there is a lag. And so if that would stay flat, call it 6% for another 12-month period, then that would, you know, kind of roll further down to kind of 2023 plus. So I would just kind of take, like I said, a trailing average, whenever you are trying to come up with those actual adjustments, call it, January of 2022.
Jeff Bailey: Okay. And then, but as we move forward, even from there, can we expect on a lag basis, Blueknight results to roughly mirror CPI or is there a chance that it over indexes or under indexes, because like I said, we are not privy to what indices are being used to renegotiate or to escalate as inflation progresses?
Andrew Woodward: Jeff, this is Andy. I would look to what’s been historical. A year over year increases to the business rather than these days, hopefully one time inflation increases that we are seeing currently. I mean, we are sensitive to it as well as our customers are sensitive to it. And so certainly, when it comes to negotiations and renewals want to take that into consideration with them and not somehow use it to our advantage, because we truly look at these customers on a long-term basis and we value them not only for that business but future business as well. So we take all those things into consideration when it comes to renewal. So hopefully that gives you enough guidance. But that is probably all we can say at the moment related to it.
Jeff Bailey: Okay, that is all I got. Another great quarter. Thanks guys.
Andrew Woodward: Thanks Jeff.
Operator: Our next question is from . Please go ahead.
Unidentified Analyst: Good morning Andy and Matt. Congratulations on another great quarter.
Andrew Woodward: Thanks John.
Matthew Lewis: Thanks John.
Unidentified Analyst: A couple more granular questions for you, if I may. In the third quarter or in October, were you able to buy any more preferred stock?
Andrew Woodward: What we actually did is, in the early third quarter we had an opportunity in August to transact in a buck trade with institutional investors that approached us. So we did acquire approximately 30,000 units at roughly $8.11 per unit. So that was it.
Unidentified Analyst: Okay, great. And my second question is more legal in orientation. And that is hypothetically if the company and Ergon agreed on a deal, without specifying that any further. Would public shareholders have appraisal rights under Delaware Law?
Andrew Woodward: Can you elaborate John on that question further?
Unidentified Analyst: Well, typically, I’m not a lawyer, but I will give you my lay understanding of this that under Delaware Law, if a takeover offer is made and if shareholders believe that price is inadequate, they can appeal to the Delaware Courts to have their interests appraised. And they have been quite a number of cases over the years where courts have said, yes, the offer undervalues property and we think it is worth a higher number. And the company that is performing the takeover offer is required to pay that.
Andrew Woodward: Okay, yes. Well, quick answer from me is, I don’t know and again, we just can’t comment on the process.
Unidentified Analyst: Well, then I understand what you are saying, I respect that. But this is a question of fact, not a question of process as to whether shareholders have that right. So, if possible, you might be onset of your in house counsel or the outside counsel that is advised in the Conflicts Committee and see what they have to say. It is something to be aware of Appraisal Rights under Delaware Law.
Andrew Woodward: Yes. We will pass those comments along.
Unidentified Analyst: Okay, great. Thanks.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Andy Woodward for any closing remarks.
Andrew Woodward: I want to thank everyone for dialing in. Again, we appreciate your support. I look forward to speaking with many of you soon again. Thanks for dialing in and have a good rest of your week. Operator.
Operator: Thank you, sir. This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.